Company Representatives: Chris Abate - Chief Executive Officer Dash Robinson - President Collin Cochrane - Chief Financial Officer Lisa Hartman - Senior Vice President of Investor Relations
Operator: Good afternoon, and welcome to the Redwood Trust Incorporated, Fourth Quarter 2020 Financial Results Conference Call. During management's presentation, your line will be on a listen-only mode. At the conclusion of the prepared remarks there will be a question-and-answer session. I will provide you with instructions to join the question queue after management's comments. Today's conference is being recorded. I will now turn the call over to Lisa Hartman, Redwood's Senior Vice President of Investor Relations. Please go ahead ma'am.
Lisa Hartman: Thank you, Andrea. Hello everyone, and thank you for joining us. With me on today's call are Chris Abate, Redwood's Chief Executive Officer; Dash Robinson, Redwood's President; and Collin Cochrane, Redwood's Chief Financial Officer. Before we begin, I want to remind you that certain statements made during management's presentation with respect to future financial or business performance may constitute forward-looking statements. Forward-looking statements are based on current expectations, forecasts and assumptions that involve risks and uncertainties that could cause actual results to differ materially.  We encourage you to read the company's annual report on Form 10-K, which provides a description of some of the factors that could have a material impact on the company's performance and could cause actual results to differ from those that may be expressed in forward-looking statements. On this call, we may also refer to both GAAP and non-GAAP financial measures. The non-GAAP financial measures provided should not be utilized in isolation or considered as a substitute for measures of financial performance prepared in accordance with GAAP. A reconciliation between GAAP and non-GAAP financial measures is provided in our third quarter Redwood review available on our website. Also note that the content of this conference call contains time-sensitive information that is accurate only as of today. The company does not intend and undertakes no obligation to update this information to reflect subsequent events or circumstances. Finally, today's call is being recorded and will be available on the company's website later today. I will now turn the call over to Chris Abate, Redwood's Chief Executive Officer for opening remarks.
Chris Abate: Well, thank you Lisa and thanks to all of you for joining the call today. As I reflected on the past year, it’s hard to conceptualize what our country has been through in the opening weeks of 2021, let alone all of 2020. With unprecedented turmoil in Washington, and the economy still locked by the coronavirus pandemic, now seemingly populist revolt underway on Wall Street, it’s hard for any investor to navigate all the turmoil and volatility. So we feel all the more fortunate to have emerged from such an unprecedented year and a renewed position of strength. It's motivated us to make 2021 the best year in our company's history.  We exited 2020 with momentum building across both of our platforms, including record lock volumes in residential lending and very strong originations and contributions in business purpose lending.  GAAP earnings for the fourth quarter were $0.42 per share, well in excess of our $0.14 per share dividend, and our GAAP book value increased $0.50 per share from the third quarter to $9.91 in the fourth quarter. Based on the trajectory of our operating businesses and our expectations for sustainably higher net interest income throughout the year, we are confident that we can safely support a stable to growing dividend in 2021. We plan to announce our first quarter dividend in March.  Looking ahead, our strategic priorities for 2021 include allocating ample capital to our residential consumer and business purpose lending platforms, doubling down on our technology investments to scale our business and continuing to support and develop our team members.  Strategically speaking, the COVID-19 pandemic has only further validated our core investment thesis as demand for single family detached housing has grown significantly. We expect much of that demand to be durable as families choose to move away from dense urban areas, more people are able to work remotely out of their homes regardless of proximity to the workplace. This has already caused ripple effects across both the residential and commercial property sectors, especially in major metropolitan areas.  That's why our primary focus for 2021 will remain on our operating platforms. The operating capital we allocate to these businesses is expected to generate returns on equity north of 20% post tax, levels very difficult to come by when sourcing third party investments and today's impressed environment.  Most importantly, these businesses serve large and growing markets not covered by government lending programs and as such, are positioned to generate scalable and repeatable sources of future earnings, even in a less accommodative interest rate environment. Since they are earned within our taxable subsidiaries, the earnings generated can also be retained to provide a steady stream of internally sourced investment capital that can be deployed to further grow earnings and book value.  Turning to our investment portfolio, our portfolio remains a strategic element of our business model that supports our operating platforms and third party investing activities. Overall credit performance of the book remains strong, as delinquencies have continued to decrease since their peak in the summer and strong home price appreciation has kept actual credit losses low.  This means that even if we retrace back to pre-COVID-19 valuations, we continue to expect significant further upside on these investments. Coupled with positive credit trends, high prepayment speeds have begun to unlock additional value on most of our credit investments held at a discount to par and to channel the late Yogi Berra, I’ll remind everybody that loans that prepay don’t default. From a technology front, speed and disruption are top of mind in 2021 across the Redwood Enterprise. The goal is not simply to grow volume or issue more securitizations. We aim to fundamentally change how the non-agency sector operates from end-to-end. That entails more speed and automation and keeping technology at the forefront of our planning process.  In the past several months we have launched several new technology initiatives through both organic and new venture investment strategies, and just today we are announcing the recent launch of RWT Horizons, a new venture investing strategy focused on early stage technology companies, with business plans squarely focused on innovations that can disrupt the mortgage finance landscape.  The amount of capital deployed through this new platform will likely be smaller at first, however the investments are designed to have an outsized impact on how our business operates, our strategy centers on creating new efficiencies across the mortgage value chain, thereby making us a more meaningful partner to the broad network of market constituents to whom we provide liquidity. We expect to have a steady stream of new technology releases across our platforms that we are excited to share with you, some of which Dash will cover in more detail on today’s call.  Paramount to our success are our people and the core values by which we conduct our business. Caring for our employees has never been as important as we continue to support our team members and their families through the impacts of COVID-19. Investments in our employee programs and stewardship of our culture remains strategic priorities, and we are proud of the work that we’ve done to engage, develop and retain our workforce over such a challenging year.  We stand behind our core values, including an earnest focus on diversity, equity and inclusion, and a commitment to strong corporate citizenship, both socially and environmentally. Our commitment to our larger communities, the volunteerism and charitable giving have also remained the sharp focus for us, particularly as our shared humanity has been amplified by the COVID-19 pandemic.  We believe our strategy will enable us to scale our business and take market share, grow durable and repeatable earnings and serve our mission to help make quality housing, whether rented or owned, accessible to all Americans. With optimism on the horizon for 2021, we are looking forward to the positive impact that Redwood can make for our collective stakeholders, including our shareholders, our employees and our communities.  That concludes my prepared remarks. I'm now going to turn the call over to Dash Robinson, who will walk through our operating results in more detail. Dash, go ahead. 
Dash Robinson : Thank you, Chris. With record performances from our operating businesses during the second half of 2020, we entered 2021 in a position of strength. Our fourth quarter results reflect continued improvement in the broader credit markets, the depth and breadth of our competitive advantages and opportunities for a business to further build market share and growing segments of housing finance. Our crisp execution during the quarter was supported by progress on key technology initiatives and increased efficiency and turning our capital.  Before getting into our results, I will further discuss some of the key housing industry trends we are observing. The theme as we saw in the third quarter have continued, and tailwind for our operating businesses remain strong. Secular trends driving single family housing demand do not appear to be abating. Even with the promise of a vaccine, consumers are embracing the flexibility of the work-from-home model, detethering them from urban centers and creating a substantial pocket of fresh demand for housing.  The need for space and functionality to conduct business in private homes has driven higher home values at all price points, in turn fueling the potential for expansion in both the owner occupied and investor owned segments of the market.  Home price appreciation continues apace, as demand for single family homes is far outstripping supply. Market observers estimate that U.S. housing stock gained a total of $2.5 trillion in value in 2020, including $2.2 trillion from appreciation and existing homes. Nationwide home prices were up over 10% year-on-year in December.  And while the number of homes sold rose over 20%, inventory available for sale fell over 40%. Resell inventory is at its tightest level ever in many top markets and on average stands at less than two months of supply. What's more, mortgage rates have remained at or near record lows, even as tenor treasury rates now stand more than 25 basis points higher than in late December.  And while the pandemic continues to impact certain segments of the labor market in different ways, the personal savings rate at year-end was up 90% from the end of 2019. As such, a key outcome of FED stimulus has been meaningful upward pressure on bank deposit levels, a phenomenon that among other things has important ramifications for bank appetite for assets.  This data, coupled with the demand trends we are seeing for our products and the performance of our portfolio makes us optimistic about our immediate and long term opportunities for growth. In many ways we will measure our success in 2021 by the velocity with which we enter 2022. We believe our competitive positioning, commitment to technology solutions and deep client base, will allow our businesses to operate at a steadily increasing capacity as the year progresses.  Now I'll turn to some key metrics in the fourth quarter. Sparkling results from our residential and BPL platforms, coupled with strong performance in our investment portfolio, drove a 20% annualized return on equity for the quarter.  In our residential business, we recorded a record $3.8 billion of locks with over 90 discrete sellers, up 81% from the third quarter. Loan purchase commitments, those adjusted for potential pipeline fall out during the quarter were $2.5 billion, more than double the amount in the third quarter.  Momentum has continued into 2021 as January locks told $1.6 billion. The vast majority of our locks continue to be select ones, which are reflecting some of the strongest credit metrics we have seen since the great financial crisis, including average FICO’s in the high 700s and debt ratios of 30% or lower.  These record volumes were well balanced by our multi-channel distribution model. During the quarter we achieved strong execution on two securitizations, backed by $669 million of loans in aggregate, including a $345 million single investor securitization place with the insurance company.  We also sold over $800 million of loans during the fourth quarter and entered into agreements to sell four in addition of $1 billion, expected to settle in the coming weeks. We believe that in 2021 we will see a pronounced increase in consumer demand for jumbo loans and that we are in the early stages of a historically significant refinancing wave.  With rates remaining low, we are seeing our seller network continue to hire additional loan officers to support pent up demand in the jumbo pipeline and an increase in participation in our seller training sessions.  In December we officially launched a new seller initiative, Redwood Rapid Funding. Demand has exceeded our expectations and as of January 31 we have funded nearly $120 million of loans through the program. We are in the process of on-boarding several more sellers as we transition from the pilot phase into a more formal program for a broader set of our clients.  Additionally, we recently launched the pilot phase of Redwood Live, an app based tool designed to give our sellers visibility into the underwriting process with live status updates for each of their loans. Also during the fourth quarter we launched a new initiative to modernize our work flow on the capital markets desk, which will include an end-to-end solution for accessing, reporting and analyzing standardized loan level data for our Sequoia Securitization.  This platform will provide secure real-time data and transparency on the underlying loan performance within our existing securitizations and a portal for potential investors during the marketing period. In the coming months we look forward to sharing more on these and other new programs, including the automation of certain portions of our underwriting process.  Turning to CoreVest, our investment thesis for entering the business purpose lending segment continues to be supported by origination growth and clean credit performance. CoreVest continues to pose truly differentiated operating results, fueled by growing consumer demand for single family homes for rent, an institutional investor appetite for the asset class.  We originated $448 million in BPL loans during the quarter, up 71% from the third quarter. Almost 80% of this production was in single family rental loans, for which demand from the securitization markets remains a highlight. We completed two securitizations in the fourth quarter, including an innovative single investor transaction placed with the leading insurance company. Our broadly distributed deal was backed by $274 million of SFR loans and was particularly well received by the market. Certificates placed with third party investors represented 91% of the capital structure, with a weighted average yield of 1.48%. This was a 20 basis point improvement upon the already strong execution of our previous issuance.  The single investor securitization provides $200 million in financing for SFR loans and includes a unique ramp-up feature that enhances capital efficiency and reduces our reliance on traditional warehouse funding. During the fourth quarter we distributed $60 million in SFR loans into the structure and expect to complete the ramp-up later this month. We intend to pursue similar dears in 2021, which would accelerate our ability to grow the business with more efficient use of capital and reduced market risk.  Additionally in the fourth quarter, we called one of our previously issued SFR securitizations, which had $75 million of outstanding loans. The majority of these loans have either been refinanced or resecuritized and the call allowed us to recycle our capital at a significantly improved cost of funds. Our BPL borrowers are encouraged by the resilience of tenant performance this past year, and continue to raise additional capital to expand their portfolios. Importantly, we continue to believe that there is a deep group of potential borrowers, many of which are seasoned real estate investors that remains underserved by these types of lending products.  The tailwinds that fueled our residential and BPL businesses have also positively impacted our investment portfolio. During the quarter, the fair value of our securities book increased approximately 3%, supported by continued improvement in credit spreads and strength in underlying credit performance. Overall 90-plus day delinquencies in our securitized portfolios across both jumbo and SFR are now below 2%.  Additionally, elevated prepayment speeds are celebrating our ability to unlock the value of many of our subordinate bonds, the majority of which we have the right to call at specified dates or once the underlying tools pay down to a certain size. These call rates are generally at par, reflecting a discount to our current estimate of the fair value of the underlying loans.  In total, the net discount in our securities portfolio as of year-end was well in excess of $400 million, and while expected losses, well to an extent influenced it's full realization, this discount reflects substantial potential upside to book value.  All-in-all we remain very pleased with how our firm is positioned as we start the year, against the favorable backdrop for our businesses, we are committed to the use of technology to facilitate scale, reduce customer acquisition costs, and serve our growing client base more efficiently. These high quality operating earnings are complemented by more proprietary deployment opportunities for our portfolio, which should help to drive net interest income higher through time.  And with that, I'll turn the call over to Collin Cochrane, Redwood’s CFO. 
Collin Cochrane: Thanks Dash and good afternoon everyone. As Chris and Dash discussed, our fourth quarter earnings and book value benefited from strong results across our operating businesses and investment portfolio, contributing to GAAP earnings of $0.42 per share for the quarter, and generating a 7% economic return on book value for the quarter.  After the payment of our $0.14 dividend, our book value increased to $9.91 per share, representing a 5% increase for the quarter that was primarily driven by the strong earnings at our operating businesses. As Chris mentioned, these businesses are operated within our taxable subsidiary, giving us the optionality to retain and reinvest the income or distributed through our dividend.  Focusing in on some of the operating results within the business, our residential mortgage banking team achieved record locked volumes, while increasing gross margins relative to the prior quarter to generate $24 million in mortgage banking income. CoreVest also saw large sequential volume growth and improved securitization execution during the quarter, which helped to generate $33 million in mortgage banking income.  In a similar dynamic to the third quarter, though to a lesser extent, business purpose mortgage banking results included a benefit from spread tightening on the $286 million of SFR loan inventory it carried into the fourth quarter.  In our investment portfolio, net interest income remained relatively stable as capital deployment into new CoreVest and Sequoia investments without pace by pay downs, which have remained elevated due to higher prepayment speeds. As Dash mentioned, higher prepaid speeds, along with tighter spreads continue to benefit our subordinate securities that we hold at discount, and we saw positive fair value changes across our portfolio.  Shifting to the tax side, in the fourth quarter, we had re-taxable income of $0.05 per share and $0.37 per share of taxable income out of TRS. Our fourth quarter re-taxable income was negatively impacted by year-end adjustments, and we expect it will shift up in the first quarter of 2021 and continue growing as we deploy capital into our investment portfolio, which is generally held the REIT. Given our full year net taxable loss as a REIT, we currently expect all over dividends paid in 2020 to be characterized as a return of capital for tax purposes.  Turning to our balance sheet, we ended the fourth quarter with unrestricted cash of $461 million, after allocating incremental working capital to our mortgage banking operations during the fourth quarter and net of other corporate and risk capital, we estimate we had approximately $200 million of capital available for investment at December 31.  Our financing structure remains stable in the fourth quarter, after significant changes in prior quarters. Overall, we saw non-recourse leverage decreased slightly to 1.3x at the end of the year, from 1.4x at the end of the third quarter. This decrease was primarily due to some effective deleveraging within our investment portfolio from higher levels of pay-downs and fair-value increases during the quarter.  Additionally as we completed several securitizations near the end of the year, we held a relatively low balance of loans in inventory, which helped to keep overall leverage down. As we discussed, we generally expect our overall leverage to increase as we continue to build inventory levels at our mortgage banking operations. We may also explore adding incremental non-marginal leverage to our investment portfolio, which currently has less than 1x direct leverage excluding our long term corporate on unsecured debt.  At our mortgage banking operations to support growing volumes, we increased our residential warehouse capacity from $600 million to $1.3 billion and maintained $1 billion of capacity for BPL operations, with nearly 70% of this total capacity being non-marginable.  I'll close with our outlook, which is also detailed in the new 2021 financial outlook section of our fourth quarter Redwood review.  We expect demand for single family housing to remain robust throughout 2021, which benefits both of our operating platforms. Though we may experience a rising rate environment, we expect most existing jumbo loans will remain in the money and refinancable in 2021. And for 2021 we’ll continue to focus on growth, technological efficiency, and increased profitability in our operating businesses, which should allow us to retain more capital within our taxable subsidiary and grow book value.  We also expect these activities to support incremental capital deployment into our investment portfolio, which should drive higher net interest income and support a stable to growing dividend.  Looking forward, we have arranged our outlook to focus on our operating businesses, which we run out of our taxable subsidiary and our investment portfolio which we generally hold at our REIT. We think it's important to make this distinction as our operating businesses generate higher returns and have a steeper growth trajectory. And with the ability to retain earnings from these operations, over time we expect the significant capital we have allocated to these platforms to be valued as a function of their forecasted earning streams.  On that note, at December 31 we had approximately $375 million of capital allocated to our operating businesses, including $215 million for residential mortgage banking and $160 million for BPL mortgage banking, and in 2021 we expect after tax returns on this capital to exceed 20%. We may allocate additional capital to each of these businesses to support growth in volumes throughout the year with similar return expectations.  Shifting to our investment portfolio, at December 31 we had approximately $1.1 billion of capital deployed here, which we expect can generate returns on capital in 2021 between 10% to 12% relative to our year-end basis. We expect net interest income to trend higher throughout 2021, as we deploy incremental capital and to largely proprietary portfolio investments and returns consistent with or higher than are in-place portfolio.  Additionally and given current market conditions, we forecast the average cost of funds on our secured debt to continue improving throughout 2021. To support our operating businesses and investment portfolio, we expect corporate operating expenses to be between $50 million and $55 million for 2021 with variable compensation commensurate with company performance, and we expect long term unsecured debt service costs over 2021 to remain consistent with 2020 at approximately $40 million annually.  I’ll note that while this outlook provides for strong returns in 2021, we expect that the return potential of the businesses will grow throughout the year as we deploy additional capital and continue to expand our operating platforms, positioning the business to generate even higher overall returns in 2022.  And with that, I will conclude our prepared remarks. Operator, you can open the call for Q&A. 
Operator: [Operator Instructions]. And our first question comes from Doug Harter of Credit Suisse. Please go ahead. 
Doug Harter: Thanks. I was hoping we could just talk a little bit more about the 2021 outlook for the Mortgage Banking Businesses. Obviously seeing in excess of 20% is kind of – it could be a wide range, but you know I guess if I look at the returns in the fourth quarter, you know it looked like you generated $30 million on that equity base would be kind of north of the 30% return on equity. So I guess just kind of wanting to kind of drill down into the excess of 20% a little bit more. 
Chris Abate: Sure, Dough I’ll kick it off and then Dash can supplement. But you're right, the ROEs on the operating businesses have been meaningfully higher than 20%. It’s a balance we need to strike with forward guidance. You know a lot can happen over the course of the year as we saw last year, but what we've seen early on in Q1 gave us obviously plenty of confidence to go out with the north of 20% number.  I think if this operating environment is maintained or enhanced, there's a very good opportunity we could do quite a bit better than not, but we need to balance out a number of factors, probably the most fundamental one is the roll out of a vaccine and ultimately a recovery in the economy. So right now the operating environment remains strong, but we want to get a little bit more behind us in 2021 before we update that estimate. 
Doug Harter: That makes sense. I’m sorry Dash. 
Dash Robinson: Doug, its Dash. I was just going to add that, you know just to piggyback on Chris's point, some of the – you're absolutely right. I mean the returns on equity for that capital in the fourth quarter were in access of 30%. You know some of that does reflect some of the inventory balances we had carried into the fourth quarter, particular around BPL, which we’ll always do, but those continue to be a little higher than we expect them to be in 2021 as we continue to work out of the pipeline from the second half of the year.  And secondly, the fourth quarter also you know reflects what as you know we are continuing, improvement in credit spreads and so we're able to execute into that environment and you know our forecast, we wanted to be careful not to assume obviously further execution tightening based on where we are today.  So there's some things we hope will certainly recur, but we wanted the forecast to reflect a durable sense of margin and volume as opposed to some of the things that helped contribute to the returns in the fourth quarter.
Doug Harter: That all makes sense. And then I guess just thinking about the ability to continue to deploy capital into the operating businesses, even at the 20% return, obviously quite attractive. I guess how should we think about you know ability to kind of continue to grow and you know be able to deploy more capital into those businesses if you know at those types of returns. 
Chris Abate: Well, right now a big component of those returns is capital turnover. So we've allocated an amount of capital to each one in total around $375 million. And in some stance to grow the ROEs, we want to preserve that amount and not necessarily increase it, unless we can do that accretively. But right now we've been pretty successful for the past few quarters, those higher ROE run rates and we are confident at this point that we can preserve that.  One thing that in addition we're able to do organically is create investments as you know through our PLS issuances. Most of that recently has been through CoreVest, through our capital executions and bridge originations, but as the residential Sequoia deals ramp-up, hopefully we’ll also be putting growing amount of capital to work there.  So there’s multiple benefits from that operating capital at the businesses. And then as we mentioned at the outset, the fact that it's taxed and that that 20% guidance was post-tax, all of those earnings we’re able to redeploy if we so choose back into the business. I always think of that as your lowest cost capital versus raising outside capital, so that's another accretive element to what we do. 
Doug Harter: Great, thank you. 
Operator: The next question comes from Stephen Laws of Raymond James. Please go ahead. 
Stephen Laws : Hi, good afternoon, a very nice quarter. You know Chris or Dash, I guess to start can you talk about the single investor securitizations and maybe how the pricing and advance rate of those compares to the more traditional securitization and maybe some comments on the ramp-up feature for the SFR deal. How much capacity remains and is that something you are going increase or expect to do continually on the future deals?
Chris Abate: Sure Stephen, thanks for the question. I would say in general the advance rates and pricing are in-line. On the jumbo single investor securitization, that was a fully distributed deal, for the P&I bonds, and that essentially you know priced probably right on top of where we would have issued a regular Sequoia transaction. Of course we had the benefit of preplacing the whole structure up front, which obviously has a meaningful benefit to market risk. So very comparable, proceeds and effective cost of funds there versus the Sequoia deal.  The single investor deal for BPL was a little bit different. The advance rate was comparable, pricing might have been a little bit wider than where we should do a capital securitization today, but when it was – I think it was much more in-line. But what it allows us to do, is basically end-around the traditional warehouse financing completely.  So if you think about the typical process, we originate loans, put them on warehouse lines and then securitize them within a couple of months once we have critical mass, and while those loans carry pretty well on warehouse lines, they carry much more efficiently in a structure like this, and so what this allows us to do is basically ramp-up a securitization from day one.  And the execution that we get on any given loan that we pledge to that facility is pretty close, to what the ultimate securitization outcome will be, which is obviously hugely attractive because we use a less cap holder during the ramp-up period. We get a better return on that capital because there's more free cash flow to our position and most importantly, we mitigate the market risk associated with carrying an inventory.  So it's been – it's almost full at this point. Like I said, we expect to complete it at the end of this month and we certainly will be looking to replicate that structure in some shape or form throughout the year.
Stephen Laws : I appreciate that. You know thinking about the call, the SFR securitization was called, can you talk – I think $600 million of calls likely this year in the review. But can you talk a little bit more about that and will we see, will that drive the call gains and realized gains. I know you guys had in excess of 50 million of those, I guess in 2003, 2004 and 2005 and again in 2012. Are we looking at something like that or is it simply more about getting optimal leverage back into a structure and the accretion that would come from that and then redeploying that excess capital. Can maybe give us a little more color around what we should expect the impact to be from the securitization call this year. 
Chris Abate: Yeah, I think it's all the above frankly. You know the reason we touched on just the net discount in the book overall, you know reflects the fact that you know these calls come further into the money we would naturally expect, assuming credit performance and the market conditions remain consistent with where they are today. There's that accretion which we would expect to accelerate in terms of just our, what our current book value might reflect today. And then secondly, there is the upside you know once we have access to those loans. The current value of those loans is north of par and in some cases well north of par. So when we think about calling a jumbo securitization, being able to turn those loans into a fresh securitization at a premium execution.  Number one, it obviously captures those gains, but to your point, you know those structures have inherently deleveraged significantly, and so our effective borrowing rate would go down meaningfully or if we were able to re-securitize those loans and package them or frankly just sell them out right, you know to third parties, and which would be obviously 100% financing.  What's particularly interesting about the business purpose loans, as a direct lender you know not only does the call allow us to do some of the financial work that I was just describing, but it also provides an opportunity to work directly with those borrowers, who may be looking to refinance, which would obviously be a fresh set of originations for us on top of you know some of the financial improvement that we would have from being able to recapitalize those structures. So it really is all of the above and we're excited about it. Obviously it will depend upon you know prepayment speeds and the ongoing performance of the collateral. But it's an area we're very focused on this year and very excited about. 
Stephen Laws : I remember the big gains in ‘03 through ’05 well, so we’re partly watching that the calls come through, the capital redeployment that I'm sure…
A - Chris Abate: For us too.
Stephen Laws : Yeah Chris, one question I got to ask about the dividend. I certainly understand the ability which is unique among a few of you that have material tear at the income to retain and grow book value and redeploy at attractive returns here. But can you give us any – you know when you're with the board, you know what is – is there a target on the dividend of a certain yield or a multiple of maybe the S&P yield or how do you think about bringing the dividend given the reinvestment opportunities you have with the capital you retain as I think about putting an estimate out for the coming quarters? 
A - Chris Abate: Well, good question Stephen. That's why I answered it a little bit, just to clarify that this quarter the actual dividends will be declared later in March. Historically we've done it closer to the 10-K filing, but I think going forward it'll be a little bit later. As far as the direction goes, it's obvious set by the board, but we're looking at it from a strategic perspective, the direction of free cash flow and the business is generating a lot of cash flow. Cash pays dividends, income doesn't pay dividends and even though the operating subsidiaries were taxable, if we believe that that cash is best used to distribute, that's something that's a tool in our tool kit and I think you know what I would expect is that it's going to continue to be some combination of re-taxable income, which we expect to grow in 2021, as well as you know cash thrown off from these operating subsidiaries. So overall, we feel very confident where the dividend is today and I think our goal is to see it continue to go up, but right now we're not at a point where we can give additional guidance. 
Stephen Laws : Great! Well, I appreciate the comments and look forward to staying in touch. Thanks. 
Operator: The next question comes from Bose George of KBW. Please go ahead. 
Bose George : Yes, good afternoon. First, in terms of thinking about an operating number for the quarter, you should be at $23 million of investment again, but we in assessment pulled that out. Is that kind of a way to work through as an operating number?
Chris Abate: Sorry Bose, you’re a little staticie. Could you repeat that please?
Bose George : Yeah, just in terms of trying to get to an operating number for the quarter and I was wondering, you know you guys had $23 million of investment gains. And if I removed that, is that a kind of a way to think about what the operating number would have been for the quarter?
A - Collin Cochrane: Yeah, I think you know in the past Bose we have you know adjusted the GAAP earnings to back half investment for value changes and also some of the amortization of the purchase intangibles. So those are kind of the two items that in the past we put to the side when thinking about you know kind of just the core earnings potential of the company. You know that's something we're continuing to look at in terms of how to express that, but making those adjustments is what we have historically done. 
Bose George : Okay.
A - Chris Abate: About $5 million on the purchase intangibles and you know you see the investment for value changes on the face of the income statement there, about $23 million. 
Bose George : Okay, great, thanks. And then in terms of you know asset value recovery that’s kind of remaining, you can you update us and how much is left as assets continue to recover.
A - Dash Robinson: Yeah Bose, it Dash. If you look back to 12/31 of ’19, it's about $1 a share at this point of potential recovery if we are to retrace all of the remaining unrealized losses back to year-end 2019. I think the bigger point though is what I was articulating in the script, which is you know the – even re-tracing back to the end of 2019 is far from the end of the movie in terms of unlocking value in the portfolio like we talked about with the calls and just even the more accelerated deleveraging of our positions and what that means for valuations you know in conjunction with what's been continued, strong credit performance. So it's about $1 a share to get back to year-end ’19, but you know we think there's you know a fair amount beyond that as well for our prior comments. 
Bose George : Okay, that's helpful. And then just in terms of the – that potential recovery, is there you know kind of a way for us to think about what the discounts are in those securitizations and you know kind of think about scenarios of how big those recoveries could be?
A - Chris Abate: Yeah, the average discounts you know with our subordinate bonds range you know from $0.50 to $0.60 on the dollar to, you know to up from there. So it is a bit of a range you know in terms of how to think about that.  But you know if – you know the $600 million of calls, potential calls for the year is one place to start. That's probably the more – that's probably the area where we see the more immediate acceleration of the potential accretion and then some of the embedded discount you know could come over the next year or two as those structures themselves continue to delever and as you know our call options or our ability to do other things with the underlying collateral come further into the money. So there’s a number of different scenarios obviously, but just it's not something that we expect to be fully realized this year, but we expect this to potentially be a busy year for doing so. 
Bose George : Okay, okay, great thanks.
A - Collin Cochrane: Yeah, and Bose I’d add to that. You know the discount in the book overall is well north of $1 a share, so I think that's why gas is emphasizing that you know in this market environment you’ve seen how quickly spreads are retraced, but as importantly, if the economy starts to recover and all signs are pointing towards a major secondary stimulus, there's a lot there that would really I think turbocharge the performance of our overall book and so we stopped thinking about it in terms of recovery and more in terms of you know the original investment thesis.  Thinking about our RPL book is a good example. It's one of if not our largest holdings and that book in particular stands to do much, much better with a probably big broad based economic recovery. So there's a lot to be optimistic about from our perspective in the book, but as we talked about, you know a lot can happen in a year and so we’re just taking it one quarter at a time. 
Bose George : Okay. No, it makes sense. Thanks a lot. 
Operator: The next question comes from Eric Hagen of BTIG. Please go ahead.
Eric Hagen: Hi guys! Hope all is well. A couple on the production side. Can you talk about your expectation for re-ramping Redwood Choice a little bit more meaningfully and including talking through the industry's capacity in general to address the extended prime market right now. And then another one on the production side. Can you talk about expectations for pull through rates, getting close loans to close and what do you think you might be able to turn your pipeline a little bit more quickly if you see improvement on the pull-through side. Thanks. 
Dash Robinson: Yeah Eric. Its Dash, thanks for the questions. 
Chris Abate: You know I’ll – we’re obviously separated so we plan to keep away here. But well, I'll kick it off and Dash can supplement.  You know Choice is something that we're very focused on. When you think about just the way the business runs and industry capacity, usually the easiest loans go to the front of the line and those are clearly select borrowers who have the strongest credit profiles; it will be easy just to underwrite with the highest qualified. So that continues to be most of the story in the non-agency space currently.  But certainly from a purchase market perspective, the Choice business is a core, strategic piece of what we do, and so we're very focused with our seller network and our partners on getting that business re-built. That business and then 25% to 40% you know last year in recent quarters of our overall production. So when we think about where our volumes could go, we haven't even really accounted for the addition of Choice. So that's definitely going to be a story in 2021.  As far as the – turning over the portfolio and the pull-through, you know our locks – you know I'd say two-thirds has been refi’s. Closer to 50% of the actual purchases have been you know purchased versus refi. So as far as what we're pulling through, we’re pulling through more of the purchase loans, because they need to close our customers buying a house. So that's been part of a story and I think with the refi’s, it speaks to all of the automation efforts that are underway to get these through the value chain faster. You know I think a lot of it is – some of it is near term wins; rapid funding is certainly one of those; some of its more intermediate term through automating due diligence and some of the other pieces of the food chain. So I think there's going to be wins, more immediate wins and then there's going to be a longer term innovations and that sort of speaks to some of the discussion we had about start-ups and some venture investing that we eluded to at the outset of the call. 
Eric Hagen: Thanks for that color. You guys have typically hedged your long term subordinated debt, but I think you took off that hedge last year. When you look at the forward curve, is there a desire to put that hedge back on?
A - Chris Abate: Not at the moment. [Cross Talk]. Yeah well, at the moment you know we feel fine. You know absolute yields are very manageable and frankly there's other aspects of our debt stack that we’re more focused on refinancing, but it's something that's out there and we’ll keep looking at it. 
Eric Hagen: Great! Thank you guys so much. 
Operator: The next question comes from Steve Delaney of JMP Securities. Please go ahead. 
Steve Delaney : Thanks. Hi everybody! So congrats on the progress ramping up your platforms. I'm just wondering, you know I guess agency, 30 year agency is about 280. What's kind of the range, the tight range for your coupon on your select product as we sit here today?
A - Chris Abate: Hi Steve, you know two and three quarters to three you know is occasionally inside of that, but it's pretty similar.
Steve Delaney : Wow! So obviously you know just a hot – obviously a high quality borrower and it also tails me – that leads me to the second question is, you know we always watch the primary secondary spread on the agency side, just to try to get a sense and that really affects more the originators, you know on gain on sale margin, but it's an interesting thing and we're probably – you know it's pretty attractive now, maybe 20 some basis points wider. I'm just curious if you look at execution.  So if you're there, you know under 3%, how about on the other side when you look at execution on your sequoia stuff. How are you matching up in terms of your loan coupons versus the bulk of that RMBS debt stack versus you know just kind of historical levels. 
Chris Abate: Yeah, I mean the AAA’s have kind of come all the way back. You know we can't speak about any particular deal in the market currently, but certainly in the neighborhood of one back of the current coupon TBA is around where the AAA’s have been executing in early 2021, kind of across the PLS space for super prime jumbo. You know that primary, secondary is still pretty attractive, but it's definitely you know the non-agency space has attracted a lot of capital, probably from the side and definitely from other sectors just as you know people kind of roll down the risk curve a bit or roll up I should say and look for yields frankly.  So it's still, you know we're definitely glad to be on the issuer side of equity, it's a strong issuer market.
Steve Delaney : That's where I was going.
Chris Abate: But – yeah, yeah. So it's definitely you know we feel like we're on the right side of that currently, but it also it has us focused on Choice and has us focused on kind of the next round of borrowers to serve.
Steve Delaney : Understood, you know pick the low hanging fruit for sure. And then so that kind of rolls me right into my question about the whole loan sales. I know before COVID I mean there was always a big bid there and the banks were buyers, etc. Kind of your thought process – you don't have unlimited capital obviously in terms of warehouse securitizations, but your gain on sale opportunity, whole loans today kind of relative to securitization and maybe kind of what the whole loan profit opportunity looks like to the sale channel, looks like today versus you know maybe late 2019 before COVID. 
Dash Robinson : Yes Steve, its Dash, it’s a great question.
Steve Delaney : Hey Dash!
Dash Robinson: I would say the executions you know as recently as a few weeks ago were on par with each other and securitization is probably a little bit through whole on sale at this point, but they're both quite strong and I think from the depositories like I was mentioning in my prepared remarks, you know just the amount of deposits and the net interest margin pressure that depositories are feeling you know are really driving momentum in the conversations we’re having with partners.  We're selling a lot of loans, we’re selling a lot of loans to folks that we worked with a lot in the past, as well as some new faces as well, which is obviously you know very exciting, because we feel like there's a lot more to do there. You know when you combine the quality of the paper that we’re able to produce, you know it was just the need to put that capital to work, yeah there is a lot to do there, and when you combine that of course with deposit growth plus the fact that you know these – the PM's and the CIO's that these places are also dealing with, a substantial run off in all parts of the book. But you know just for context, you know Chris referenced the two and three quarters-ish current coupon on our select production. I mean for context, if you look at the total universe of select loans that are outstanding right now, the GVAC is around 4% and obviously those have been paying down you know pretty significantly.  So when you combine you know the deposit growth with what we’ve seen in the past year, with just the natural run off and accelerated run off in the book, you know there is an incredible unlocking of demand there, which we've been able to take some advantage of. 
Steve Delaney : Understood! Thank you both for the comments, I appreciate it.
A - Chris Abate: Thanks Steve. 
Operator: The next question comes from Ryan Carr of Jeffries. Please go ahead.
Ryan Carr: Hi, good afternoon guys and thanks for taking my questions. Congratulations on the great quarter.  The first question for me, you highlighted throughout the call a lot of the secular trends that helped the broader mortgage market, but curious to hear your thoughts on which trends specifically are influencing jumbo. You locked record volumes in both the third and fourth quarter and the set up, you know given where rates are and the amount of money or amount of mortgages in the money for refinance, it’s pretty compelling for the first quarter. But curious to hear your thoughts on really how the market is different this time for jumbo. 
Chris Abate: Sure, I can start and Dash can supplement. First of all, you know as I alluded, the way that the business usually recovers is you start with the easiest loans to refinance and that's always the conforming loans, the Fannie Mae loans and the take away.  In jumbo, even though the credit profiles are stronger and stronger, because jumbo loans are almost by definition not conforming. Each one is a little bit different. It's a little harder to underwrite and therefore you know these loans typically lag a bit from a refinancing perspective. There's limited industry capacity, there’s a limited number of loan officers to process the refi’s. So we, you know last year in July, you know took some lessons learned from the last crisis and wanted to make sure we run a position to take advantage of that, when we saw the opening and we were fortunate enough to do that and be there and be ready to serve our sellers and be a strong partner.  So you know that's what's going on in jumbo and the good news is the agency refinance cycle, you know you could call it middle innings, you know you might call it even a little later than that depending on what happens with the yield curve, it could have a long way to go, but jumbo is definitely in the early innings.  As Dash mentioned, you know most jumbo loans in existence today are well north of that two and three quarters current coupon, which I think from that perspective we're focused on market share, we're focused on you know being the best partner we can to our loan sellers. They originate the loans and I think that you know there's a lot to do in 2021.  I also think that some of the – some things that could prove to be secular, you know people transitioning from multi-family to single family, part of that story is definitely more space, bigger homes, which tend to start to bleed into jumbo. When you look at home sales, some of the higher priced homes have shown the strongest price appreciation and so demand for jumbo loans there has been increasing as well.  So I think when you factor that in and then you actually factor in a vaccine and any broad based economic recovery, we really like you know the market dynamics at the moment. There's clearly a lot of volatility out there and we're by no way, by no means through the woods, out of the woods with respect to the virus, but we do think we're in the early innings of the refinanced portion of jumbo. 
Ryan Carr: Got it. Thanks, that was very helpful. And then last question for me, you’ve highlighted continuously over the past few quarters as well as on the call, some of the investments you've made in technology, specifically across CoreVest and Rapid Funding. Can you maybe highlight how that's different from your competitors across BPL and the like, and really what you're focusing on technology wise in to 2021?
A - Dash Robinson: Sure, right its Dash, thanks for the question. You know we view investment in technology as nationally a partnership between efforts we want to take internally, you know more organic work you know which Rapid Funding and Redwood Live are good examples of, and then you know partnerships you know with others, you know vendors or other companies, newer companies or more established ones that can help you know bring us to the forefront in terms of serving our customers more seamlessly.  I think our suite of businesses is unique, because we are a mix of – you know our clients are a mix of originators as well as direct borrowers you know in our CoreVest CoreVest business. But the underlying theme is how we can make the process less redundant, more seamless and more transparent to our clients. And Rapid Funding is a good example, where we can provide liquidity more quickly to the right group of sellers. The Redwood Live initiative which I touched on is a great example of one where, we will be – we are in pilot on an application that we can roll out to our sellers, to give them real-time insight into where their loan sits in the process.  One of the areas that we feel that we have really outperformed here the past few quarters is being able to process loans more quickly than our competitors and particularly if you're an originator, a non-bank originator in particular, the ability to reliably purchase those loans, when we say we will is huge. It's critical to liquidity management for them and just the transparency of where a loan sits in the queue you know is just so important for them to understand what kind of partner we are frankly and how reliably we can show up.  And so ultimately it is like I said, making sure that we can serve our clients more quickly and efficiently and take as much friction as possible out of the system. I think that is different, because when we when we think about the suite of clients we serve, like I said between borrowers and originators, there's a real broad array of needs there in terms of what they are looking for and so those are the areas of focus that we have, and I think it is unique in that regard because of where we're focused. 
Ryan Carr: Thank guys very much for answering my questions, and congrats again on a great quarter. 
Chris Abate: Thank you. 
Operator: The next question comes from Kevin Barker of Piper Sandler. Please go ahead. 
Kevin Barker: Hi, good afternoon. So you know your comments around the return on equity that you’re seeing in the operating businesses, especially going into 2021, does that presume that you're going to see a little bit of a pick-up in leverage. And second, how much capital do you think could remix into the operating businesses, just given the strong returns that you're seeing there. I would assume that your leverage would remain low. It seems like you've been keeping recourse leverage relatively low and more conservative just given the economic uncertainty, but still love to hear your color on leverage and equity allocation. 
Dash Robinson : Yeah, well I can definitely touch on the leverage Kevin and then Chris can maybe follow-up.  I did mention in my prepared remarks, we did see leverage remain pretty low this quarter and that was somewhat a function of the fact that we had cleared through a lot of inventory through some of the securitizations close to the end of the quarter, so that won’t always be the case.  We generally do you expect that our inventory of loans for the operating businesses will trend higher over time and that those are typically held with higher amounts of leverage. So that will influence our overall leverage for the company. So that's something we've been talking about for a couple quarters now.  I think this quarter it just happened that we can get some of these transactions done closer to the end of the quarter which clear things out, and you know we do have a pretty large pipeline in front of us. So we do expect that to trend higher just in terms of the amount of inventory, you know bounce around at any given quarter end, but generally trend higher. And I also mentioned the investment portfolio has a pretty low direct leverage on it and that has also been turning down a little bit as we’ve seen some deleveraging there. So I think there is some potential as we do some, look into refinancing some of our debt over 2021 that we could layer in a little bit more incremental leverage into that part of the business as well. 
Kevin Barker: Okay then, as far as the equity allocation, how that shifts and your expectations for it, I’m assuming that it's going to grow considerably in the operating business. You’ve seen quite a bit move up in the residential lending. Could you just provide a little bit color like how much more growth you could see as far as capital allocation within those respective operating business?
Chris Abate: You know it's kind of like steering a ship, volumes are a big factor. How much loans we hold in inventory? How quickly we are turning the capital over? What we don't want to do, we are focus on accretive profitable growth and so we want to allocate more capital when we can deploy it as accreatively as we are able to currently.  So right now, I think when we think about our volumes, we feel like the amount we have is a good risk adjusted capital balance for the foreseeable future. The extent that the operating environment continues to remain attractive and we are able to be more competitive and source more volume that would definitely necessitate a bigger capital allocation and that would be a good issue to have, because that capital is very accretive to us currently. But right now I think the amounts we disclosed or that you read about in the review, are what we expect to fuel the business for the foreseeable future. 
Kevin Barker: Thank you. 
Operator: This concludes our question-and-answer session. The conference has now also concluded. Thank you for attending today's presentation and you may now disconnect.